Operator: Good day, ladies and gentlemen. And thank you for standing by. Welcome to the MaxLinear Fourth Quarter Earnings Conference Call. During today’s presentation all parties will be in a listen-only mode. Following the presentation the conference will be opened for question. (Operator Instructions) I’d now like to turn the conference over to Nick Kormeluk with MaxLinear. Please go ahead, sir.
Nick Kormeluk: Thank you, operator. Good afternoon, everyone, and thank you for joining us on today's conference call to discuss MaxLinear's Fourth Quarter 2013 Financial Results. Today's call is being hosted by Dr. Kishore Seendripu, CEO; and Adam Spice, CFO. During the course of this conference call, we will make projections or other statements regarding future conditions or events relating to our products and business. Among these statements, we will provide information relating to our current expectations for first quarter 2014 revenue, including expectations for revenue growth in our cable, terrestrial, satellite and other target markets; gross profit percentage and our operating expenses; and our current views regarding trends in our markets, including our views of the potential for growth in our cable, terrestrial and satellite market. These statements are forward-looking statements within the meaning of the federal securities laws and actual results may differ materially from results reflected in these forward-looking statements. We are subject to substantial risks and uncertainties that could adversely affect our future results. Our business and future operating results could be adversely affected if our current target markets, including the terrestrial, cable and satellite markets, do not grow or if we are not successful in expanding our target-addressable markets through the introduction of new products. In addition, the substantial competition in our industry; potential declines in average selling prices, risks relating to intellectual property protection and outstanding intellectual property litigation and the cyclicality in the semiconductor industry could adversely affect our future operating results. A more detailed discussion of these risk factors and other factors you should consider in evaluating MaxLinear and its prospects is included under the caption "Risk Factors" in our filings with the Securities and Exchange Commission, in particular, our most recently filed 10-K for fiscal 2013. These forward-looking statements are made as of today, and MaxLinear does not currently intend and has no obligation to update or revise any of these forward-looking statements. The fourth quarter 2013 earnings release is available on the company's website at maxlinear.com. In addition, MaxLinear reports gross profit income or loss from operations, and net income or loss and basic and diluted net income or loss per share in accordance with GAAP and additionally on a non-GAAP basis. Our non-GAAP presentations exclude the effect of stock-based compensation expense and its related tax effect, net expenses associated with a prior export compliance matter, accruals under our equity settled performance bonus plan, expenses associated with our acquisition of certain new market-related technology licenses, expenses related to prior patent litigation matter with Silicon Laboratories and mask-related asset impairments. Management believes that this non-GAAP information is useful because it can enhance the understanding of the company's ongoing economic performance. And MaxLinear, therefore, uses non-GAAP reporting internally to evaluate and manage the company's operations. MaxLinear has chosen to provide this information to investors to enable them to perform comparisons of operating results in a manner similar to how the company internally analyzes its operating results. The full reconciliation of the GAAP to non-GAAP financial data can be found in our earnings release issued earlier today. The earnings release and reconciliation is available on our website and we ask you to review them in conjunction with this call. And now, let me turn the call over to Kishore Seendripu, CEO of MaxLinear.
Kishore Seendripu: Thank you, Nick, and good afternoon, everyone. Thank you, all, for joining us today. Before jumping into the financial highlights, I would like to note that 2013 prove to be another great year for MaxLinear one in which we grew our top line by 22% outpacing many of our semiconductor peers. Our revenue growth in 2013 reflects a continued momentum in cable across both DOCSIS 3.0 modem and Media-Server gateway applications along with a return to year-over-year growth of our terrestrial revenues driven by increased traction in hybrid television. This time last year, we commented on progress being made in establishing the satellite roadmap as a next incremental growth catalyst for MaxLinear. As we exited 2013 and entered 2014, we have begun to deliver on the promise with the successful launch of a broad family of leading technology solutions addressing the Satellite TV market. We are incrementally more positive about our technology position and design win momentum versus where we have hoped to be at this time last year and believe that Satellite TV application represents an exciting new addressable market and multi-year growth opportunity for MaxLinear. Moving to the financial specifics, in the fourth quarter, we realized cable revenues in a quarter that has historically been weaker. Net revenue in the fourth quarter of 2013 was $31.6 million down approximately 1% from the third quarter of 2013 and up 27% from the year ago quarter and slightly above the midpoint of our guidance. GAAP and non-GAAP gross margins in the fourth quarter were 61%. These GAAP and non-GAAP gross margins would have been approximately 62% absent charges related to an inventory reserve taken for certain end of life legacy Terrestrial products. GAAP net loss in the fourth quarter was $2.6 million or $0.08 per diluted share and non-GAAP net income for the fourth quarter was $2.3 million or $0.06 per diluted share which was impacted by approximately $0.01 a share from the end of life inventory rate of reserve I talked to earlier. I will now discuss current trends in our business. In the fourth quarter of 2013, cable mix decreased to 65% of our total revenue versus 70% in the prior quarter. While our prior guidance for fourth quarter of 2013 had contemplated cable being flat to slightly up, we did experience more seasonality in the cable business, which was made up by strength in other business areas. But as a result, we did experience a decline in our cable business in the quarter of approximately 7%. Well, Adam provide overall revenue guidance for Q1 2014 a bit later, based on our current bookings and backlog we are comfortable that the seasonal decline in cable revenues is behind us and the cable revenues have poised to resume growth in the first quarter of 2014. Despite the Q4 sales seasonality we experienced in cable, we continued to experience a strong product ramp for our 16 and 24 channel full-spectrum capture cable receivers in particular there was strong demand for our 24 channel solution targeting 1 gigabit per second data speed DOCSIS 3.0 cable modem application. We continued to leverage our full-spectrum capture architecture across a range of cable application. In the quarter, we announced that Sagemcom selected our 4 channel full-spectrum capture cable receiver SoC for its next generation cable video set-top box platform. We also announced that MaxLinear 21x family of Cable full-spectrum capture receivers supporting 2 to 4 video channels and four DOCSIS 3.0 channels, which enabled the design a cost effective video gateways in DOCSIS 3.0 data modem. These products in particular addressed large emerging markets for cable in China and Latin America. Moving to the Terrestrial and Satellite TV market, we are pleased to realize strong growth in our Terrestrial and Satellite revenues in a quarter that typically experienced seasonality in hybrid television and set-top box businesses. Based on the strength in hybrid television and terrestrial set-top box product shipments combined with our first product shipments in the satellite gateway market, we achieved sequential quarterly revenue growth of 15%. In particular, hybrid TV revenues grew strongly as we continue to build momentum in this market. We also experienced recovery in the shipments of our ISDB-T broadcast digital TV standard tuner and demodulator SoC solution addressing pay TV set-top box markets in Latin America. We continue to experience strong demand for our 65-nanometer CMOS hybrid TV Super Radio solution addressing a broad range of television and set-top box application. In part, the demand for hybrid television product is driven by countries like China where the Ministry of Industry and Information Technology has mandated that all shipments of television 40 inches and larger integrated digital terrestrial receivers by January 1, 2014. This digital receiver mandate expands to every television after January 1, 2015. Some notable highlights in terrestrial in fourth quarter of 2013 are, we announced that Hisense Group one of China’s top TV manufacturers has started mass production shipments of its latest generation of LED, LCD television that feature the MxL661, which is MaxLinear’s 6th generation theme of TV tuners for hybrid TV applications. The new tuner uniquely implements on-chip programmable RF-IF delay necessary for TV signal reception in legacy Chinese analog cable set-top box and TV systems with television content access protection. At CES, we also demonstrated a breakthrough terrestrial full-spectrum capture front-end technology with live multi-channel reception of over the air digital terrestrial TV signal. The introduction of full-spectrum capture technology for terrestrial application enables television and set-top box manufacturers to offer a truly novel end-user experience with mere instantaneous channel change, time shifted viewing and multi-screen display without the cost, power and size penalty of discrete solution. Moving to the highlights of our target addressable market expansion efforts into Satellite TV, as mentioned earlier we were pleased to recently announce that we started production shipments of our MaxLinear 500 series family of Satellite TV receiver and associate product addressing a variety of applications including home media gateway. These SoCs are the first single chip full-spectrum capture satellite front-end devices on the market that supports single and multiple RF input and they are able to simultaneously receive up to 8 Satellite TV channels utilizing up to 8 integrated DvDs as to [ph] satellite digital TV standard technology demodulators. We also recently announced a comprehensive product family of digital outdoor unit products for the satellite TV that feature 24 channel CMOS single chip full-spectrum capture band translation and digital channel-stacking technology. The availability of these next generation digital outdoor units is essential to satellite operators being able to deploy media gateway server set-top boxes inside the home that can simultaneously deliver a multiple channel to multiple IT client devices such as television screens, IPTV set-tops, smartphone, tablets and others. On the note, there have been some questions resulting from some comments I made recently at the Needham conference regarding the legacy analog single provider module outdoor unit technology for satellite. It is as though some people may have misconstrued my comments that since the analog single wire module outdoor unit architecture is higher power than digital outdoor unit technology that current analog single wire module deployment doesn’t [indiscernible] that because definitely not the case. Also this is definitely not the point, I was trying to make whether the point and the distinction is that a digital outdoor unit architecture is much more power efficient for handling the multiplicity of channels that we believe operators will want to deploy in the future. Hopefully this clarifies any as far as common concern and would puts to rest any lack of confidence in the legacy technology regarding safety concerns. Following on the satellite outdoor unit theme, we have began gathering design win momentum most notably, we recently announced that PBI, a leading manufacture of satellite outdoor unit meant for large satellite operators has selected the MxL865 for its new direct broadcast satellite digital outdoor unit will deliver up to 24 TV channels over a single co-axial cable between the rooftop dish antenna and the indoor unit set-top box or gateway. In conclusion, we are pleased to have delivered revenue of approximately $120 million in 2013 representing an annual growth rate of 22% driven by strong growth in cable revenues and the return to growth in Terrestrial revenues. Most significantly, we have executed on creating an exciting new opportunity for the initial shipments of our full-spectrum capture product addressing Satellite TV application and the announcement of customer design wins in the Satellite TV digital outdoor unit markets. We continue to identify and work towards opening a new target addressable market for industry leading broadband full-spectrum capture RF front-end technology platform in areas beyond Cable, Terrestrial and Satellite TV applications. Now let me turn the call over to Mr. Adam Spice, our Chief Financial Officer for a review of the financials and our forward guidance.
Adam Spice: Thank you, Kishore. I will first review our results and then briefly discuss our outlook. In summary, our Q4 revenue was $31.6 million slightly above the midpoint of our prior guidance. As Kishore noted strong growth in hybrid TV and terrestrial set-top box shipments was efficiently strong to largely overcome seasonal softness from our cable customers. Now, moving to the rest of the income statement. GAAP, non-GAAP gross margin for the fourth quarter were approximately 61% of revenue versus our prior guidance of 61% to 62% for both GAAP and non-GAAP gross margin. As Kishore mentioned these GAAP and non-GAAP gross margins would have been 62% absence charges in the quarter for end of life inventory reserves on some legacy terrestrial products. This compares to GAAP and non-GAAP gross margin of 62% in the third quarter of 2013 and GAAP and non-GAAP gross margin of 63% in the year ago quarter. Our Q4 GAAP operating expenses were $21.8 million which includes $3.4 million of stock-based compensation, $1.4 million for an accrual related to our performance-based equity bonus plan for 2013. And $100,000 in net professional fees related to Silicon Lab patent litigation matter which is now settled and for which there are no future payment obligations for MaxLinear. Consistent with 2012 payouts under our 2013 performance bonus plan are expected to be settled in shares of MaxLinear stock. Net of these items, OpEx was $16.9 million which is essentially inline with our flat guidance [Technical Difficulty] OpEx of $16.8 million and up from $14.9 million in the year ago quarter. Fourth quarter GAAP OpEx attributable to R&D was up approximately $100,000 quarter-on-quarter and up $2 million year-on-year to $14.7 million, which included stock-based compensation of $2.2 million and $900,000 related to the 2013 bonus plan. Excluding stock-based compensation and bonus plan accruals, R&D was up approximately $200,000 on a quarter-on-quarter basis to $11.6 million. Within this flattish R&D spending an increase in tape out related cost was largely offset by decline in [indiscernible] IT cost relative to Q3 2013. Fourth quarter GAAP OpEx that triples SG&A was down approximately $2.9 million quarter-on-quarter and down $500,000 year-on-year $7 million, which included $1.2 million in stock-based compensation, $500,000 in bonus by accrual and $100,000 in net professional fees related to Silicon Lab patent litigation. Excluding stock-based compensation bonus plan accruals and net professional fees related to Silicon Lab patent litigation. SG&A was slightly down on quarter-on-quarter basis to $5.25 million. At the end of the fourth quarter 2013, our head count was 337 as compared to 326 at the end of the third quarter of 2013 and 277 heads at the end of 2012. We continue to add R&D head count globally [indiscernible] initiative and are able to derive operating leverage in R&D by a perfectly balancing hiring across our R&D centers in the U.S., India, China and Taiwan. GAAP loss from operation was $2.7 million in Q4 compared to the loss from operations of $4.7 million in the prior quarter and loss of $4.5 million in Q4 last year. GAAP loss from operations was $12.4 million for the full year 2013 versus GAAP loss from operations of $13.1 million for the full year 2012. GAAP net loss per share in the fourth quarter was $0.08 on basic shares outstanding of $34.9 million. GAAP net loss per share included $3.4 million in stock-based compensation expense, $1.4 million from accrual related to 2013 performance based bonus plan. And $100,000 net professional fees attributable to the Silicon Lab patent litigation. This compares to GAAP net loss per share of $0.14 in the prior quarter and net loss of $0.14 in Q4 last year. None of these items are non-GAAP earnings per share in Q4 was $0.06 on fully diluted shares of $37.5 million compared to $0.08 per share in Q3 of 2013 and $0.02 per share in Q4 last year. For the full year 2013, GAAP loss per share was $0.37 and non-GAAP income per share was $0.32 compared to full year 2013 GAAP loss per share of $0.40 and 2012 non-GAAP income per share of $0.14 on a fully diluted basis. Both GAAP and non-GAAP earnings per share were negatively impacted by $0.01 or as previously mentioned end of life inventory reserves recognized in the quarter. Moving to the balance sheet and cash flow statement. Our cash, cash equivalents and investments balance increased $3.3 million at the end of the year from Q3 2013 to approximately $86 million, which is an increase of $9.1 million as compared to $77.3 million in Q4 last year. Our cash generated from operations in fourth quarter of 2013 was $2.8 million approximately $200,000 less than the third quarter of 2013 and $1.5 million more than in the year ago quarter. Our days sales outstanding for the fourth quarter was approximately 57 days or 4 days more than in the previous quarter and approximately 1 day more than in the year ago quarter. As a reminder, we only recognized revenue on the sell through basis and as such we are not subject to revenue fluctuations caused by changes in distributor inventory levels. Our inventory turns were 5.1x in the fourth quarter compared to 5.0 turns in the third quarter and improved relative to the 3.9 turn in the year ago quarter. Turning into our guidance, we expect revenue in the first quarter of 2014 to be in the range of $31 million to $32.5 million. Built into this range, we expect Cable revenues to increase 5% to10% sequentially and Terrestrial revenues to decline 10%. More specifically within Cable, we expect growth from cable data and VTA application to more than offset the clients in media-server gateway and basic cable set-top box. Within Terrestrial, we expect modest growth in Terrestrial set-top box and the continued early ramp of our satellite gateway receiver product to be more than offset by seasonal declines in hybrid TV. We expect GAAP and non-GAAP gross profit percentage to be approximately 61% to 62% in the first quarter. Our gross profit percentage forecast varied plus or minus 2% depending on the product mix and other factors in particular the relative contribution of Cable, Terrestrial and Satellite application. We can do the fund strategic development program is targeted delivering attractive top line growth in 2014 and beyond with the focus on increasing operating leverage in the business. As such we expect Q1 2014 GAAP operating expenses to be essentially flat relative to the Q4 2013 quarter at $21.8 million. With seasonal step up payroll related expenses which will also include a full quarter effect of our incremental Q4 hires and [indiscernible] hiring. The increase in payroll related expenses will be offset by reduced spending on tape out related activities. We similarly expect that Q1 2014 non-GAAP operating expenses will be flattish sequentially at approximately $16.9 million with increases in previously referenced payroll related spending offset by lower spending on tape out related activities. In closing, we were pleased to report Q4 revenues, which was slightly above the midpoint of our guidance and achieved another year of strong double-digit top line growth. We are also excited by the near and long-term potential for revenue growth represented by the commencement of product shipments into the Satellite TV market. And with that, I would like to now open the call to questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin our question-and-answer session. (Operator Instructions) And our first question comes from the line of Anil Doradla with William Blair. Please go ahead.
Anil Doradla - William Blair: I had a couple of questions. On the Terrestrial stuff, Adam or Kishore, can you give us a little bit more color around that inventory reserve and how did it play out and I have a couple of follow-ups.
Kishore Seendripu: Hi, Anil. This is Kishore. We had our generation product called – for hybrid TV called MxL301 and there were two things that happened, one is that, we are seeing transition of pretty much fully to our new product MxL601 and 661. So we felt prudent that at the end of the year, it’s a good to revaluate our expectations about whether this legacy part would continue to ship in the legacy sockets. And we go through usual analysis every year and we deem that it’s probably best to do the – I don’t know the right accounting term is, but right on the inventory against the expectations for purchase orders in the future.
Anil Doradla - William Blair: Okay. And you talked about on the guidance front you talked about strength on the DTN cable but you talked about some softness on the Media-Server gateway, a little bit color on that?
Kishore Seendripu: So if you recall the entire 2013, we really benefited from the first time launches of, launch of Media-Server gateway with the X1 platform from Comcast not along in the Q4 we did talk about risk associated with the discontinuation of the X1 to be replaced by a new Media-Server gateway platform and where we have started shipping. So based on our backlog at this point in time, we are seeing a conservative view in our forecasting process and assuming that the X1 shipments may be more muted as the transition to the new X2, X3 platform happens on the Media-Server study. Go ahead please.
Anil Doradla - William Blair: No. Sorry, go ahead.
Kishore Seendripu: So this is pretty consistent with what we’ve been telling all along in terms of the transition from the – that we will be hitting some points where as X1 comes down as these successor platform take off in a faster rate or we are going to go through a bit of a shallow or a down period on X1.
Anil Doradla - William Blair: And finally on 2014, as we look out for the whole year can you just share with us some of the big growth drivers, I know satellite is going to be one of them seems like you guys are doing well on the satellite, can you provide us a little bit more kind of big picture color as the year progresses? Thanks a lot.
Kishore Seendripu: I think we are pretty excited looking forward to 2014. We do not provide guidance of course for all the quarters ahead. However, on a quantitative front we did mention in the script that there is a strong pull for the 24 channel full-spectrum capture chips which is for the 1 gigabit per second speed. And we were worrying at the end of 2013 given the 16 channel platform would be stronger than the 24 channel platform and it appears right now that definitely the traction is towards the 24 channel platform and that’s good news because it had a tendency to drive the ASPs higher than a 16 channel platform would. So we anticipate that the cable modem revenues would grow strongly in 2014 based on these optimistic transitions that we are seeing to the 24 channel. We are also seeing some resurgence in the DTA business. I think some of the operators are suddenly coming back to life. So we’re going to see some strength there and we’re going to see some momentum pick up on the new generation of gateway platform through North America, Europe the swing in the direction of endless gateways and some video gateways and that should pick up some momentum as well. So cable as a whole we expect to see some very good growth this year that’s the first anchor piece of steady state revenues that we have today. On the Terrestrial side, we’re going to see strong growth in hybrid televisions. You’ve already seen the effects of that its very clear from our earnings call that for the fourth quarter that hybrid TV pulled us through a softness of the cable side. And we are anticipating that the seasonality in the first quarter would dampen the hybrid television, however, that’s not but we do expect growth to continue very strongly in the first quarter is a little bit of difficult one due to the Chinese New Year and the manufacturers and the customers in hybrid television being in China as well. So hybrid TV is going to grow very strongly. The good news here is that the ISDB-Tuner Demodulator SoC product it would recall for the fourth quarter we forecasted to be down going to some inventory levels at the pay TV operators namely SKY Brazil in South America. However, that seems to have picked up now so maybe we are in the recovery piece a little bit early than we had suggested earlier. So all in the all the vectors are all in the right direction. We’re pretty excited that Cable has transitioned to 24 channel. So that’s a big exciting news for me and but even more exciting is that the Satellite TV gateway chips begin to ship in volume production now. We’ve got some good visibility on POS for the second big socket that are going through the next layer of pilot production. And thirdly, the satellite outdoor unit designs are going with very strong momentum. We’ve had press releases accordingly from PBI which was the biggest OUI manufacturers for the major satellite operators in the world so that should give you good indication that they’re making all the right moves and success in the satellite space as well.
Anil Doradla - William Blair: Great. And looking forward to a great 2014. Thanks.
Kishore Seendripu: Thank you very much.
Operator: Thank you. Our next question comes from the line of Tore Svanberg with Stifel. Please go ahead.
Tore Svanberg - Stifel: Yes thank you and congratulations on the results. I was hoping you could first talk about your visibility for Q1 may be commenting a little bit on your backlog and recent order trends?
Adam Spice: Sure. Yes, we could talk. Tore, this is Adam. So we talk on our calls particularly about what our bookings look like going as we enter the quarter and consistent with that we were booked in a very normal range for us as we entered Q1. So we think the visibility certainly is consistent with the prior quarters. We feel pretty good about the visibility we have based on the guidance that we provided and we just, we went into the quarter books about three quarters to the midpoint of our range, which again is consistent with historical margin. We can be in some case we’ve been over 80% book in some cases we’ve been in the 50s and 60s but I would say over the last six to eight quarters right where we are is pretty much the medium so we feel pretty good.
Tore Svanberg - Stifel: Very good. And it sounds that as the margin you’re a little bit more optimistic about your satellite opportunity. I was hoping you can maybe update us on what your revenue expectations are for that market for 2014?
Kishore Seendripu: So our revenue expectation for the markets are consistent with what we have told earlier given where we are today. If you recall we expect satellite revenues in the gateway market to accelerate in the later half of 2014. So it’s a little bit more, little bit distance and you need to subject in and timing had a big impact on the total volume of the revenue is in the ramp timing. However, at this point we feel the designs are locked they’re growing very well. So we’re felling very, very positive. And on the Satellite outdoor unit market designing for the digital channel stacking that’s going very well, we’ve had some couple of major press releases to the degree we have demonstrated in CES, operators are generally very, very strict about confidentiality and what we can share at this stage. But we hope to be on track to start shipping on the outdoor unit market like we did in the satellite gateway last year in the fourth quarter of this year. So these two product cycles would have a nice momentum inside 2015. And if you are a little bit lucky you could see some thrust to the momentum in 2014 as well. So getting back to the numbers here, what you add I think that we have told you in the earlier discussions meeting that we expect satellite revenues to be somewhere between $5 million to $12 million. That still is the range we are maintaining for satellite. It’s a big range but that’s subject to rather timing.
Adam Spice: Yes. I think Tore on that part. I mean I think we’ve also that we got to set ourselves an objective. We think we have a very good trajectory going, if we could exit 2014 where satellite revenue represents somewhere in the order of 10% of total corporate revenues as we exit 2014 on a run rate basis. So I think that would a good objective measurement process -- the level of traction we’re seeing.
Tore Svanberg - Stifel: Very good. And Kishore you mentioned your full-spectrum capture technology is starting to gain some traction in Terrestrial applications. I was hoping you could talk a little bit about that what types of applications will we actually see some early revenue from on full-spectrum capture?
Kishore Seendripu: So I just wanted to make some clarification here on that topic. What we demonstrated CES was the possibilities of the technology present in terms of making Terrestrial TV experience to be much more versatile than it is today in televisions or otherwise. So it is more a showcase of the technology and with no direct commitments or designing of this technology with any customer yet. Having said that we are demonstrating this technology so that we could target multiple opportunities for over the top, field over the top content receivers that would like to cut the cord and add Terrestrial television content. We would like to target it to televisions where they want perhaps channel change and picture in picture and be more than two channels sort of application. In Japan they do multi channel reception where we are shipping today but our full-spectrum capture could replace those opportunities. So all in all, it is an opportunity potential but right now we are not in the place where we can talk about design win momentum or real true sampling of this product outside of a demonstration at a level where it could design into customer socket. So I hope I’ve clarified if any exuberance was there in terms of revenues on this particular product.
Tore Svanberg - Stifel: No, that’s very fair. Last question is on 4K television. I assume with your tuner technology you have some exposure to the market, I know its still early days there too. Could you expand a little bit how MaxLinear was depicted in that market and if you will participate against both from a tuner side and that may be also with some other receivers?
Kishore Seendripu: So the -- first and foremost, the first opportunities for 4K for MaxLinear would be in the gateway market, the set-top box markets. Those would be first once will enable that and its very, its, and that’s primarily the technology reasons because we need more bandwidth for 4K video. And in a cable environment you have the potential for over the top content and a very huge bandwidth with the data modem side on the DOCSIS side. And you need multiple channels to receive the content and combine them and maximum your full-capture facilitates that. So the cable definitely would be on the first one. On satellite to you like wise have to assume the same and on the television side, it’s not quite clear yet because right now our participation on regional television is over the air television only with single channel tuners and that’s not still clear to us. So we expect the first opportunity for shipping 4K would be the multi-channel tuner demodulator SoCs or full-spectrum SoCs in cable and satellite markets and it’s over the top content 4K video using a DOCSIS 3.0 data modem side of the business.
Tore Svanberg - Stifel: Thanks very helpful. Thank you very much.
Kishore Seendripu: Thank you, Tore.
Operator: Thank you. Our next question comes from the line of Ross Seymore with Deutsche Bank. Please go ahead.
Mike Chou - Deutsche Bank: Hi. This is Mike Chou for Ross. Thanks for taking my question. Just a question firstly on the cable business in 4Q, it was down a little bit more you mentioned seasonally but if you could just give a little color on why it is down may be a little bit more than you had previously expected?
Kishore Seendripu: I wish I could give you more color. There is nothing that is design related or demand related in terms it just the deals were the POS shrunk in terms of delivery for the Q4. And we’ve always maintained that this is a very difficult one first to predict in the operator office business. We’ve always been told that either Q4 will be down or Q1 will be down, but be prepared for one of them. So we had good field coverage getting into the quarter and we still have when we did the earnings call and the last two, three weeks we had a few shifts here and there in terms of delivery and as a result we took some hit on that not unlike what happened in the previous year. This time it was much more well behaved and more – we were in the loop as to how it was happening and there is nothing negative to our products if anything, we are seeing a very strong Q1 coming alive in cable based on the bookings and backlog. So really it’s a non-event, it’s just the vagaries of the operator business, I would argue.
Mike Chou - Deutsche Bank: Okay. And then on the Media-Server Side you mentioned earlier about the transition from X1 to X2. Can you just give us a little bit more of -- a little bit more color on what these implications are to you maybe going forward from the transition of X1 to X2 and then may be X2 to X3, how does that impact you?
Kishore Seendripu: So first and foremost, I would like to, I think we have shared this news with all of you is that we are very well-positioned with the design wins in successive generations of this Media-Server gateways that in the X series and these go out of a few years out so very, very well-positioned. And primarily we are positioned with the Intel platforms. So I want to make a note of that. So in a way our success in the server platform, gateway platforms is intricately linked with. Our partner also doing a wonderful job and which they are, so we have good traction there. So with regards to the color on the transitions and we have said this before in 2013 and later parts of 2012, we exclusively enjoyed the benefits of the Media-Server gateway shipping the world’s first one, which is Comcast and also in Europe with UPC to the Samsung box and in United States to Comcast through PACE. And so we have 100% of the business and we had about $10 to $11 of silicon content inside, because we had three chips that were doing multiple channels, each one doing two channels and others doing maybe, about eight channels. So there were chips that added up to about $11 to $12. However, with the success of the excellent platform the volume is promising to be much, much higher and partly driven by the fact of the cost of the silicon is coming down quite dramatically. We’ve integrated all those features to the single chip namely our 24 channel chip and 16 channel chip. So our ASP content is coming down through well below that number, let’s say it’s in the range of $5 to $7. So we are taking an ASP hit. However, the volume is going to grow a much more than we are and so then, the decrease of the ASP. And however, here is the issue in this particular year, in the X1 we enjoyed 100% market share, but now either way we’ll have to share this with another platform, and we do not know who that would be. We are forecasting that we will have to but right now we don’t see that threat yet. So therefore, we are predicting some softness in the Media-Server gateway on a dollar basis in this year. But the volume basis, yes, we expect to see a large increase. However, in 2015, after the share -- which has happened and the volumes is much more we would be healthy beyond the place in the Media-Server gateways. That is the qualitative color on this particular situation, is that clear.
Mike Chou - Deutsche Bank: I know that’s very helpful. And seems like I can just slip the one last one and I think you guided for OpEx being flat in Q1, if you could just maybe expand on that a little bit on the trajectory OpEx through the remainder of the year, just trajectory wise?
Kishore Seendripu: Yes. So I think it’s difficult and against system with our guidance practice, we don’t go up beyond the current quarter. What I would say though is that consistent with our goal of creating more operating leverage on our business, our goal is to – is to actually have our operating expenses grow at a rate significantly slower than our top-line growth rate. So and I think that’s based on where the street has their estimates for 2014. Overall, I think that we were coupled that will be able to generate some incremental leverage within the model. So I’m not ready yet to go out and provide operating expense guidance beyond the current quarter. But we don’t see step function requirements in our roadmap requiring, huge amounts of hiring or significantly different technologies to be acquired to support. What we are facing in 2014 is the situation where, because of some of the design wins momentum that we’ve garnered in some of these newer markets, we do have to put some additional resource by commercializing our solutions. And we also are facing our first expenses related to 20-nanometer designs. That includes incremental costs related to CAD tools and so forth and of course maps get successively more expensive as you move down the process note curve. So we don’t expect anything out of the ordinary as far as size of increases to our OpEx and we do think that those are going to occur at a rate slower than our growth in revenue, and hopefully that provides some context for you with how to check out for the year.
Mike Chou - Deutsche Bank: That’s very helpful. Thank you so much.
Operator: Thank you. Our next question comes from the line of Quinn Bolton with Needham & Company. Please go ahead.
Quinn Bolton - Needham & Company: Hey, guys, nice job on the December results. I wanted to just first clarify Kishore your comments on that media gateway revenue for 2014, you said that units up nicely, but revenue down was that specifically for your revenue at Comcast or is that across all carriers for 2014?
Kishore Seendripu: Thank you, Quinn. I did not say the revenue is going to be down, I said revenue appears -- we are conservatively forecasting it to be soft. And a specific example, I’ve given you is for Comcast, you’re absolutely right that’s a very good question. But, we do not see that pattern yet on the timing-wise with the shipments in Europe to be two or three major operators. However, those operators too are going through a transition on moving to the lower cost gateways. So that will happen in the little bit later time in the year rather than this first quarter, second quarter concerns we have on the X1 transition. So we will see some transition effects on the ASP, but we don’t know exactly the split or share changes and then the total volume. So it could well be that the volume and share together actually pull our revenues to be actually increasing quite nicely. So at this stage it’s hard for us to quantify that, but and we are just taking a conservative position that we’ll grow modestly in the server gateway this year like we’ve talked earlier, and but if things play out better that’s nice for us.
Quinn Bolton - Needham & Company: Okay. Great. And then a second question, just -- can you talk a little bit about the hybrid TV market, if I went back to the third quarter conference call, I think you had forecast Cable to be up and then Terrestrial to be down sort of the reversed happened like you explained what happened on the Cable side with [indiscernible] in the quarter? Can you just sort of describe the Terrestrial being up sort of better than what you had expected 90 days ago, it sounds like a lot of that hybrid TVs and I assume that most of the market share gains and I think its seasonality for hybrid TVs as in December quarter typically is down?
Kishore Seendripu: I think two things that -- we -- you don’t have the seasonality of a high on hybrid TV, but for the fact that we are gaining market share. And I think these are the true statement that in the sockets outside of Korea, even in Korea we have some gains, but outside Korea we are actually having incredible success in all – in the sockets that are going tuner onboard on regular televisions. The incumbents’ position in the hybrid TV sockets outside of Korea so far has not been not that strong except NXP in China. But, all our solutions are superior and as the dust on the legal situation has settled, we have been able to really garner more and more market share and we believe this trend is going to continue through this year and next year as well. Obviously, the ASPs are under heavy pressure and we have never been the big fans of that. However, it looks like we are having good success with the product cycle drive into the hybrid television for us in fourth quarter. And why Q1 is -- we are guiding to be softer because we think the seasonality thing because a big part of our revenues are in China, in Asian markets in hybrid television the new sockets. So we are just being careful that seasonality will impact us until we know after Chinese New Year what the situation would look like.
Quinn Bolton - Needham & Company: Okay. And then my last question for Adam. I know you typically don’t guide beyond one quarter, but as we wrap up calendar 2013 and some of us rollout our calendar 2015 estimates. Tax rate for 2015 is that still expected to be fairly low amount or do you think will have to reverse the valuation reserve against deferred assets and record a higher tax rate out in 2015?
Adam Spice: Right. So as you know this is one of the areas it’s very difficult to predict. Although, I can say that based on what we know today, I would not anticipate a reversal of the valuation allowance. I think that we -- I think you got - I mean I know that you understand kind of the underlying rules that’s when you revisit that and review. Of course we revisit [ph] that on annual basis. But for now we don’t foresee in the foreseeable future gaining cash taxes given our NOL situation. So the tax provision will continue to be very low, I believe in 2014 and through 2015. Again, as a result of kind of where we are and what the thresholds are for revisiting the valuation allowance.
Quinn Bolton - Needham & Company: Okay, great. Thank you.
Operator: Thank you. Our next question comes from the line of Alex Gauna with JPM Securities. Please go ahead.
Alex Gauna - JMP Securities: Thanks. That’s JMP Securities. Kishore I apologize for asking this so many times, but Comcast on its conference call seen pretty upbeat on the X1 program and to be talking about increasing CapEx to pull in that program and accelerate it. Are you in fact seeing that activity and so the kind of mixed promise you are making rather really a matter of you don’t know which platform is going to shift is that what you are talking about?
Kishore Seendripu: You are absolutely right. And having said that the chips for the X1 are different from the new chips that we have for the non-X1 program with successive [ph] generation. And right now we are seeing order -- good order flow for the good ramp for the non – for the new chips. However, for the X1, the orders are a bit stalled, but those flavors our chip. So we don’t know if they are waiting from a CapEx point of view to add more appeals or they are going to ramp to the successive ones, its just that it is the kind of the slow period they are getting interaction with the operator is a bit difficult. They go through your four year points, yes. And the dust has to settle we need a month or two to really get a little bit more -- what I call credible information of how this is going to swing. So if you’ve heard that that’s right they are all euphoric everybody is going to move to the gateway server model all over the world be it in Cable or Satellite, we see the talk, we see the designing activities. We see their constant conversation of adding more channels and more feature sort of questions. However, the order situation related to X1 was a successful one. We are in a bit of a old pattern right now because it’s related to what is happening specifically to X1 models versus the next generation model.
Alex Gauna - JMP Securities: And then just to clarify further, I though I heard you say something about potentially on the ASP part some of the ASPs will be going down but that’s been somewhat hypothetical to the migration towards higher channel count solution. What’s going on in that front?
Kishore Seendripu: So, yes. To put this in perspective, the X1 was launched, it was suppose to be a pilot program. They were checking it out. At that time MaxLinear they wanted to do 4 to 16 channels of what we provided them was an eight channel cable DOCSIS 3.0 modem chip or MxL261 and we provided them three of our or two of our depending on which program, our two channel cable tuner demodulator solutions. So we were in effect selling them three chips, so the ASP was much higher. However, now we have specifically integrated all these channels into one single chip. So the ASP has come down on the pricing side quite a bit relative to that $10 to $12 range. So the ASP is really decreased -- really a simple effect of integration that we have accomplished. And therefore the ASP is down but the ASP also projects volume increases quite strongly for the server platform. So we are just in a classic price elasticity on the server platform. So I would not have more color on that.
Alex Gauna - JMP Securities: Okay. That makes a lot of sense that helps. One last quick one, if I could. Your results seeing a good deal better than any of the peers are talking about in the space. Are there any areas where it’s very evident you are taking share or how you are out performing some of the others?
Kishore Seendripu: Yes. So I want to be humble about this whole thing, right? I would like to say in cautious, right? So I would like to say that the transitions that are happening to the higher channel platforms in 24 channel, the data gateways or data modems that transition helps us very profoundly and hopefully that results in share gains related to competition. So as long as that were to happen, we would benefit quite a bit from that. So I think you’re seeing the effect of those product executions which our team did a fantastic job our operations team did a wonderful job of bringing the cost down and the test times and wafer cost down. And together I think we have been able to drive along with our partner a very strong bench into the competitive advantages in MaxLinear and Intel platform directions to win market share.
Alex Gauna - JMP Securities: Thank you. Nice quarter.
Kishore Seendripu: Thank you.
Operator: Thank you. Our next question comes from the line of Gary Mobley with Benchmark. Please go ahead.
Gary Mobley - Benchmark: Hi, guys. Thanks for taking my question. I had a question regarding 4K, I appreciate the fact that the transition to 4K helps your business drives demand for higher channel consolation et cetera. But in some respects you’re depended on your backend partner support for 4K and seemingly Broadcom has a lead trusting this new compression scheme. And just wondering if you are concerned at all about shortening or a smaller window of opportunity for some of your current design wins based on the pay TV operators doing in their timeframe for 4K deployments?
Kishore Seendripu: Hi, Gary. So the simple answer to the question is that right now the 4K is all about really, really high end and really I think 4K timeline from a volume perspective is I think couple of years out that’s my own perspective. However, really traction is around the HEVC decoding capability which a number of players offer. And Broadcom is definitely one of the leaders and ST is also very strongly positioned in HEVC stuff. So on the video platform side and I'm speaking in generically regarding Cable or Satellite and what we provide in the front is agnostic to whether its 4K or to HEVC, we provide the tuner demodulator SoC function and we do the bonding necessary to facilitate a larger bandwidth that 4K will require. So we would benefit as long as we are the front-end to the extent that we can be on platforms with the backend that have HEVC or Brocade. We would have good revenues associated with that and we expect that to happen much later.
Gary Mobley - Benchmark: Okay. Adam, I know you don’t want to give OpEx guidance for the remaining three quarters of the year. But I’m just trying to think about what the normal R&D level is for MaxLinear, was the Q4 level exceptionally high, because the tape out expenses and perhaps now Q1 is the new normal?
Adam Spice: So Gary, if you look at last year, we basically had two periods in 2013, the first half of the year were the non-GAAP operating expenses were in the $14 million to $14.5 million per quarter, all right $14 million to $14.5 million. And then in the back-half of the year they stepped up about $2 million and that was primarily driven by tape out activities, quickly as we were doing devices enter these new satellite opportunities. So in a lot of ways I think that, the activity around those fronts will continue as we continue to try -- can commercialize as many of these new market expansion opportunities as possible plus keep our Cable and our Terrestrial roadmaps healthy and vibrant. So as a result, I do think that Q4 is more of a new normal. I don’t see us going back down below those levels in 2014. So I would almost say rather than say is it a new normal, I think it’s certainly a new, I would say relatively speaking it’s probably a new starting point. And could there be growth off of that, yes, I think there will be growth off of the Q4 and off of the Q1 guidance for operating expenses. But again, consistent to what I mentioned earlier, given what we expect to happen on a top line, I do believe that we’re going to – we’ll be able to create sustained operating leverage and increase that as we move through 2014. So that in of itself should tell you that we are not looking for a significant step ups from where you would – you kind of got acquainted to the new level. And I don’t think it’s a wrong way to color and get the new level.
Gary Mobley – Benchmark: All right. Thanks guys.
Operator: Thank you. Our next question comes from the line of Jay Srivatsa with Chardan Capital Markets. Please go ahead.
Jay Srivatsa - Chardan Capital Markets: Yes. Thanks for taking my question. Kishore on the Satellite side, we know the big boys EchoStar, Dish and eSky [ph] there is a lot of presence of Broadcom solutions and ST solutions over there. What in your mind is the challenge to break into some of those designs and when do expect you would be able to get some success over there?
Kishore Seendripu: Hi, Jay. Very good question. And I think we have been very forthright about the Satellite gateway opportunities. On the Satellite gateway side unlike the Satellite outdoor unit market, we do have to work with the backend platform partner. And in that particular space there are two major players, I think Broadcom is the number one player in North America and ST worldwide, the Broadcom shares split the market. And though we work very closely with ST, so on the gateway side longer-term we expect to be much more prevalent on the ST platform. However, they are opportunistic, there are opportunistic sockets that we hope to secure or have secured in front of other players that are not ST and that would be more than our anticipation in terms of business plan and our ROI expectations for those developments. So you are absolutely right, we have to work with one of those two players. Today we work very closely with ST and that should yield us very good results. And moving forward we expect other players like Entropic and Lexis and Mstar all to be present in some form and even Intel. And so the ecosystem should expand further where we would be less constrained the way we are today.
Jay Srivatsa - Chardan Capital Markets: Okay. And then on these – over the top boxes, it looks like this whole cutting the cord business is getting more and more popular in the U.S. and that possibly proliferate into other countries in the coming years. Again, where do you see that opportunity and how well-positioned are you in terms of being able to take advantage of some of the growth in that segment?
Kishore Seendripu: Okay. So on the cutting the cord opportunity is, even – so when you cut the cord the assumption is you’re getting your cons and consumption from over the top, right? And you need a broadband connection. And [indiscernible] is the most prevalent broadband connection in United States and Western Europe. That can handle that kind of video bandwidth required today is Cable. And we redeveloped our products that goes into cable modems that so the more the Internet bandwidth you require is better for us because of our products accommodate the number of – the multiple channels required to provide the broadband data bandwidth. So that’s the first one. When people cut the cord too they would like to have access to the local channels and the content that’s coming over the air and we will be able to facilitate in addition over the air Terrestrial content with our Terrestrial TV tuners and in the future a full-spectrum capture TV tuner demodulator SoC that are across the geographies in the world. I have a different view on satellite that is that satellite today is the CD anyway, any location – it’s the closest thing to a wireless video for you and satellite is still going to be a content delivery story, high-quality content and the satellite house would have connection to the broadband data band -- data and they would – and if they want the high-quality content they would still subscribe with the satellite services. So that’s really of the landscape, so I think we are very well-positioned in the next medium term or longer term that we can see as long as the broadband connections are coming over cable with the current products to be able to take advantage of the cutting the cord.
Jay Srivatsa - Chardan Capital Markets: Thank you. Good luck.
Operator: Thank you. We have a follow-up question from the line of Anil Doradla with William Blair.
Anil Doradla - William Blair: Hey, guys. Thanks for taking my question again. So Kishore and Adam when I kind of zoom in again back on the X1, can you give a little bit color on what percentage of revenues is coming from that? And when I will step back and look at what happened in December and March, is it fair to say have this X1 issue happened sometimes say in the middle of the year, I mean, the strength, sequential growth rate of business would have overshadowed whatever transitions are happening? Is it just the seasonal aspects of the business, is that amplifying the X1 issue or any thoughts will be appreciated?
Adam Spice: Yes, Anil. On the X1 specifics and actually we don’t break out that level of detail. And so we can’t really provide you any more color there. And I think what we have said consistently throughout 2013 and Kishore mentioned earlier, we have the support – the good portion of having the share as to one major platform is ramping in this application. And so – and then you got the complexity of transitioning to a successive generation, while the legacy generations continue to ship. The part of what you saw in Q4 that attributes to the Cable revenue decline overall is, we did concede ASP in the legacy box in order to make that attractive – and make it have legs by going forward. It’s a little bit longer. So I don’t think you can read, don’t try to read too much into the talks about the Media-Server and revenue specifically because again it’s a lot of moving pieces, there is the consolidation from a three chip set solution to a single chip. There is the addition of likely other supplier into the mix. There is the transition from the legacy model – the new model what that does to your supply chain and it will kind of thrash that puts you through. So it by far is the most murky part of our forecast right now. And we would be not doing anyone a service we provide I try to give people too much confidence in the amount of granularity, we really have there or profit in the forecast. Because there is a lot moving pieces and it’s a dynamic part of our business and right now it’s just, it’s a little more fluid than perhaps we or he would like but its kind of just the nature what it is right now.
Anil Doradla - William Blair: So basically and I think Kishore mentioned the X1 commentary in the March quarter is largely driven by a degree of conservativeness rather than clarity so to speak?
Adam Spice: I think so because we are in line of clarity. We really don’t have a tremendous amount of visibility. So I would start seeing or guessing because we are not guessing, we are using the best data that we have, which is not as much as we have enjoyed in 2013 when we had I would say very, very good color and visibility because there was only one platform at Comcast. And we knew we were the sole provider and we had a very good team. Now things become a little more diverse there as a platform to be successful and being deployed more broadly. There are just a few more pieces to try to put together to get a clear picture and we are not quite there yet.
Anil Doradla - William Blair: Okay. Great. Thanks a lot guys.
Adam Spice: Thank you.
Operator: Thank you. I’m showing we have no more questions at this time. Please continue with any closing remarks.
Kishore Seendripu: Well, thank you, operator. As a reminder, we will be participating in the Stifel, Nicolaus Technology and Internet Conference on February 11 in San Francisco; and at JMP Securities Technology Research Conference on March 4 in San Francisco. So we hope to see many of you there. We also thank you for joining us today. And we look forward reporting on our progress during the next quarter. Thank you.
Operator: Ladies and gentlemen, this does conclude our conference for today. We thank you for your participation. And you may now disconnect.